Roger Woods: Good morning, ladies and gentlemen. Welcome, and thank you for joining FSL Trust's Second Half and Full Year 2025 Financial Results Live Webcast. My name is Roger Woods, and I'm the Chief Executive Officer of FSL Trust Management, the trustee-manager of FSL Trust. We have announced the unaudited second half full year 2025 financial results for FSL Trust yesterday evening, and the relevant materials are available on our website, www.firstshiplease.com as well as on the SGX website. During this live webcast, we will discuss the Trust's activities and the operational and financial performance in the second half and the full year of 2025. After the presentation, we will take questions from the audience. Before we begin, please note that today's discussion contains forward-looking statements based on the environment as we currently see it and certain assumptions, which are subject to risks, uncertainties and external factors. The actual future results may, therefore, differ materially from our today's views and expectations communicated in this presentation, and you are advised to read the disclaimer in the financial results presentation. Please note that this live webcast, including the Q&A session will be recorded, and a recording will be available on our website from tomorrow afternoon. We start the presentation by looking at the operational and financial highlights for the second half of 2025 and the full year 2025 results. The tanker markets have been volatile with the changing trading environment, some sectors in the tanker market are also gaining as more vessels are placed on the sanctions list of various countries. Moving on, our fleet utilization during the second half was up 100% as all the vessels are all employed on period bareboat charters. On the financial side, we ended the second half with a net profit of USD 5.1 million and 12-month result for 2025 was a net profit of USD 6.9 million. Within these results, the profit was increased by the reversal of an impairment on vessels -- for 3 vessels of $3.7 million and also the gain on disposal of the vessel of $0.7 million. In the second half, the adjusted EBITDA was USD 2.1 million. We ended the 12 months with an adjusted EBITDA of USD 4.1 million. In terms of capital structure, the liquidity position of the Trust on the 31st December 2025 was $20.8 million. During the year, we made loan repayments of USD 4.1 million, so we're having 0 net debt. Taking a look on the operational page. Performance of the fleet on Page 4 of the presentation, the adjusted EBITDA for the Trust's core fleet, the specialized tankers decreased slightly when compared to the same period in 2024. We sold Clyde Fisher in February 2025. Moving on to fleet employment on Page 5. The Trust's contracted future revenue as at the 31st of December 2025 stood at approximately USD 17.1 million. We are pleased to confirm our vessels specialty seniority and superiority have been extended for periods from 5 months up to 4 years. On the next slide, you can see the individual ship employment going out further. As you will see, we have 4 vessels, which are employed until 2029. Moving on to the financial performance review. You can see that the development of revenue, the adjusted EBITDA and the net income over the last half years and in comparison to the previous periods. The impact of a smaller fleet is now being reflected in the revenue and adjusted EBITDA. In terms of financial leverage of the Trust, which is presented in the graph on the left-hand side of Slide 8, the trust had 0 debt at the end of year 2025. Ladies and gentlemen, this concludes the second half and full year 2025 financial results presentation, and we are now open for any questions you may have.
Roger Woods: [Operator Instructions] We appear to have no questions from unitholders. We have, therefore, come to the end of the results webcast. Thank you for joining us, and we wish you a good day and look forward to speaking to you again at the next half year. Goodbye.